Operator: Hello, and welcome to Sotherly Hotels Third Quarter 2023 Earnings Call. My name is Alex, and I will be coordinating the call today. [Operator Instructions] I'll now hand over to Mack Sims, Vice President of Operations. Please go ahead.
Mack Sims: Thank you, and good morning, everyone. If you did not receive a copy of the earnings release, you may access it on our website at sotherlyhotels.com. In the release, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. Any statements made during this conference call, which are not historical, may constitute forward-looking statements. Although we believe the expectations reflected in any forward-looking statements are based on reasonable assumptions, we can give no assurance that these expectations will be attained. Factors and risks that can cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today's press release and from time to time in the company's filings with the SEC. The company does not undertake the duty to update or revise any forward-looking statements. With that, I'll turn the call over to Scott.
Scott Kucinski: Thanks, Mack. Good morning, everyone. I'll start off today's call with a review of our portfolio's key operating metrics for the quarter. Looking at the third quarter results the same-store portfolio. Relative to 2019, third quarter RevPAR was up 1.7%, driven by ADR growth of 15%. Third quarter occupancy was down to 2019 by 11.6%, reflecting the significant upside for the portfolio moving forward. Year-to-date RevPAR performance represents an increase of 1% over the same period in 2019, driven by a 13.9% increase in rate and 11.3% decrease in occupancy. Looking at the third quarter results compared to 2022, RevPAR performance represents an increase of 0.6% over prior year, driven by a 1.5% increase in rate and a 0.9% decrease in occupancy. Year-to-date RevPAR increased 8.3% over the same period in 2022, driven by a 3.5% increase in occupancy and a 4.6% increase in rate. Overall, our portfolio's third quarter top line results were generally in line with expectations. These results were characterized by further recovery of group and corporate demand combined with the softening of leisure demand in certain markets. The softening of leisure demand was especially evident for our South Florida properties, which underperformed in terms of both occupancy and ADR compared to prior year. Recall that last year, South Florida was still benefiting from the revenge travel demand following the pandemic as well as the reduction of outbound international travel due to COVID testing policies. This year, outbound international travel has grown significantly, whereas inbound international travel has only seen moderate improvement, leading to a net negative in leisure demand for the South Florida market. While the leisure segment was not as strong as last year, our hotels in this market continue to shift to a more normalized mix of business, with RevPAR growth from our group and corporate transient segments. Meanwhile, our Atlanta hotels film and entertainment business contracts were heavily impacted during the third quarter by the entertainment industry strikes. The writer strike was recently settled and as of last night, the actor strike was tentatively settled, which should dramatically improve The Georgian Terrace’s growth prospects moving forward. Despite these market-related challenges, several of our hotels, driven by further improvement in group and business travel in the quarter, continued to perform historically well. Looking at some highlights across the portfolio. The DeSoto in Savannah continued its excellent performance during the quarter, outpacing both prior year and pre-pandemic levels fueled by strong group business, which outpaced the comparable period in 2019 by nearly 45%. The property's third quarter RevPAR outperformed prior year by 5.2%, driven by a strong 8.9% increase in occupancy. The DeSoto easily outpaced the comparable period in 2019 with RevPAR improving 43.5%, fueled by significant rate growth of 23.6%. The property continues to improve its position among its competitive set, gaining 280 basis points in fair share during the quarter. The Hyatt Centric Arlington, fueled by continued recovery in group of corporate travel demand at the hotel, posted exceptional results for the third quarter. Group business has rapidly surpassed pre-pandemic levels, outperforming the third quarter of 2019 by 55%. Overall, the property outpaced prior year's RevPAR by nearly 19%, driven by an 11.7% increase in occupancy and a 6.6% increase in rate. The property 7% increase in RevPAR versus the comparable period in 2019, demonstrates this hotel is fully recovered following the gradual post-pandemic ramp-up period. The property continues to be a standout among its competitive set, achieving a RevPAR index of over 130%, while gaining 550 basis points in share for the quarter. Hotel Ballast in Wilmington, North Carolina, continued to record strong results during the quarter, as improved group demand was coupled with continued strength from lease demand. The property outpaced prior year RevPAR by 8.6%, fueled by a 3.6% increase in occupancy and a 4.8% increase in rate. The property achieved strong results versus competitive set, gaining 250 basis points of share during the quarter. And lastly, Hotel Alba and Tampa, fueled by a well-balanced mix of business returned to excellent results during the quarter. The hotel's RevPAR surpassed prior year by 11.6%, fueled by a 3.7% increase in occupancy and a 7.7% increase in rates. The Tampa market continues to be one of the top hotel markets in the country, and this hotel is a standout performer among its competitive set, achieving a RevPAR index of 116.5% during the quarter. I will now turn the call over to, Tony.
Tony Domalski: Thank you, Scott. Reviewing performance for the period ended September 30th, 2023. For the quarter, total revenue was $39.2 million, representing a decrease of just 0.1% over the same quarter in the prior year. Year-to-date, total revenue was approximately $131.7 million, representing an increase of 5.6% over the same period last year. Hotel EBITDA for the quarter was approximately $7.6 million, representing a decrease of 23% from the same quarter in the last year. Year-to-date, hotel EBITDA was approximately $34.5 million, representing a decrease of just 0.2% from the same period in 2022. For the quarter, adjusted FFO was approximately $88,000, representing a decrease of approximately $2.3 million from the same quarter a year ago. Year-to-date, adjusted FFO was approximately $11.8 million, representing an improvement of $1.9 million over the same period last year. Please note, that our adjusted FFO excludes charges related to the early extinguishment of debt, gains and losses on derivative instruments, charges related to aborted or abandoned securities offerings, ESOP and stock compensation expense as well as other items. Hotel EBITDA excludes these charges as well as interest expense, interest income, corporate, general and administrative expenses, the current portion of our income tax provision and other items as well. Please refer to our earnings release for additional detail. Looking at our balance sheet, as of September 30th, 2023, the company had total cash of approximately $29.4 million, consisting of unrestricted cash and cash equivalents of approximately $19.2 million as well as approximately $10.2 million which were reserved for real estate taxes, capital improvements and certain other items. At the end of the quarter, we had principal balances of approximately $320.8 million in outstanding debt at a weighted average interest rate of 5.41%, approximately 83.5% of the company's debt carried a fixed rate of interest after taking into account the company's interest rate swap agreements. As we enter a more normalized operating environment, we anticipate capital expenditures to be more in line with historical norms and estimate capital expenditures amount to approximately $7.6 million for calendar year 2023. We're providing guidance with a forecast of anticipated results for the fourth quarter. Our guidance considers market conditions and accounts for current and expected performance within the portfolio. We're projecting total revenue in the range of $40.5 million to $42 million for the fourth quarter, hotel EBITDA is projected in the range of $9.3 million to $9.6 million, and the year-over-year decrease in hotel EBITDA is largely due to a benefit received last year related to our recovery of a theft loss of $975,000, as well as an increase in the current year and insurance costs related to the renewal of our property and casualty policies and that amounts to about $590,000. Adjusted FFO is projected in the range of $1.2 million to $1.6 million or $0.06 to $0.08 per share. And I will now turn the call over to Dave.
Dave Folsom: Thank you, Tony, and good morning, everyone. Overall, the lodging industry's recovery and demand, which has been characterized by significant increases in ADR flattened during the third quarter. Changes in logic demand have been a market-by-market phenomenon, leading to mixed results for our portfolio in the quarter. On the one hand, several of our key properties performed historically well from a rate and RevPAR standpoint and maintain excellent prospects moving forward. In Tampa, Savannah, and Wilmington, continued strength in leisure demand along with strong group business and business travel pickup resulted in notable year-over-year gains. Meanwhile, market-specific factors stalled the recovery of three of our largest revenue contributing assets, leading to results of those properties falling short of expectations during the quarter. Despite some market-related headwinds, we believe there is ample opportunity for occupancy growth at our hotels as our portfolio's occupancy was still to 670 basis points below 2019 levels during the third quarter. Specifically looking at the slow to recover Philadelphia Airport submarket, our competitive sets of occupancy was still 500 basis points below 2019 levels during the quarter. A stronger citywide event calendar for Philadelphia in 2024, combined with continued growth in business travel, should create compression in the market and provide a significant boost in demand at our hotel. Meanwhile, the Georgian Terrace, whose performance was dampened in the quarter by union strikes in the entertainment industry, is gaining traction in capturing new base business, which should diversify its mix of business and boost occupancy going forward. The recent settlement of both the writer's and actor strikes should provide a much needed demand boost for this hotel in the near future. In addition, weekend business at our urban market hotels bolstered by professional and college sports, concerts, and other cultural events is starting to normalize to pre-pandemic levels. Finally, while our Arlington, Virginia hotels experienced tremendous improvement over the past year, we believe the occupancy gap of 630 basis points to 2019 during the quarter, positions this hotel for outsized growth in the near-term as business travel continues to improve. The continued recovery of group business was a key factor in the overall year-over-year growth for our portfolio during the quarter. During the quarter, group business gained 3% over the same quarter a year ago. Group business at the Hyatt Centric in Arlington and the DeSoto in Savannah, Georgia, is tracking significantly above pre-pandemic levels. We see opportunities for continued growth of this segment moving forward, especially in Houston and Atlanta, too slow to recover hotels that have historically had a large group component. We expect the recent improvement of return to office rates in these markets to positively impact demand for these hotels. Looking at our portfolio's group revenue picture, strong rates have driven our portfolio's total group revenue to near pre-pandemic levels, trailing 2019 third quarter group revenue by approximately 10%. However, the total number of group room nights trailed 2019 by nearly 26% during the third quarter, demonstrating there is still considerable runway for growth in this segment. Previously, we announced the reinstatement of quarterly dividend payments for our preferred shareholders. During the third quarter, we paid out a catch-up payment for our three series of preferred stock, decreasing the amount owed on the unpaid cumulative preferred dividend by approximately $1.9 million, further reducing the unpaid preferred -- the unpaid dividend represents a key priority for the company. And so far this year, we have successfully refinanced the mortgage loans for our hotels in Houston and Laurel with favorable terms. As lending standards continue to tighten, we are focused on upcoming loan maturities for our portfolio. We are diligently working on restructuring options with the lender for our DoubleTree by Hilton Hotel in Philadelphia, who accommodated our request for a short-term extension on the loan. While loan terms have undoubtedly become less favorable for borrowers, we expect a resolution on this mortgage loan in the near future. Looking ahead, the loan maturity schedule for the portfolio is spread evenly over the next several years with only one additional loan maturity coming in 2024. Despite a turbulent macro environment during the year, the lodging industry has demonstrated continued resilience with additional growth anticipated for the near term. Looking ahead, we believe industry growth will be fueled by the corporate and group segments with corporate travel providing the biggest opportunity for upside in 2024. Improvement in the corporate travel segment is predicated on return to office rates, which continue to trend positively, an encouraging sign for the industry. Looking specifically at our portfolio, 2023's group revenues pacing 13% ahead of last year, while the business transient segment is pacing 6% ahead of last year. Overall, we are encouraged by the progress we are seeing in our operations with Q4 RevPAR forecasted to range between 103% and 100% of fourth quarter last year. We remain cautiously optimistic that normalizing market conditions and encouraging booking trends will continue to fuel our portfolio's growth prospects moving forward. And with that, operator, we can open the call up to questions.
Operator: Thank you. [Operator Instructions] Our first question for today comes from Alexander Goldfarb from Piper Sandler. Your line is now open. Please go ahead.
Alexander Goldfarb: Hey. Good morning, down there. Just so a few questions. The ramp-up of the staffing levels, are you back to now full staffing? And also, I'm assuming that the need to ramp the staffing up is because at some point, presumably where we are in order to increase the profitability of the hotels with people checking in, they expect a certain level of staffing. So I'm assuming that's why you had to raise it even though it seemed to pressure margins. Is that a fair way to think about it?
Dave Folsom: Yes. That is exactly the right way to think about it. We're not completely staff to 2019 levels yet. And as you saw maybe some of the flattening out in the third quarter, we have continued to step up and provide additional services and amenities we normally provide. It did have a drag on margins.
Scott Kucinski: Alex, I'll just add that food and beverage is the key component there. We've really ramped up our food and beverage offerings to reopen those outlets to more normalized hours, which was not the case last year. And food and beverage while provides revenue boost, it's a less profitable piece of revenue for the hotel so that does have a drag on margins.
Alexander Goldfarb: Right, right. But obviously, people -- if they're going to go travel, they expect those amenities -- what's going on in Houston. You talked about the South Barda weakness, you talked about Arlington, what's going on in Houston that the White Hall continues to sort of be a laggard?
Dave Folsom: Well, look, the market is not as healthy as it has been in the past. A lot of the CVB and entertainment and events just have not returned yet. At the same time, we've had some assets in the comp set around the hotel in the metro market that were either closed or under renovation. Those are back. And as some of the demand has returned to the market, a lot of that has initially gone to flagged hotels, and we're an independent asset. But -- as soon as this market stabilizes, I mean, this hotel did very, very well prior to the pandemic. And I don't see why that's not going to return. It's just slower to happen than by comparison, what we've seen in Arlington, Virginia and the Metro D.C. market.
Alexander Goldfarb: Going back to the debt, and I appreciate that you guys only have one loan in 2024, but if we do see that the Philly hotels extended to year-end this year before resolution. But if we take your average interest rates where they are sort of in the mid-5s, I think you said and take your total debt balance and adjusted for today's interest rates, that's like an extra $6 million, which would basically -- that does -- that's a big number given your earnings -- so how are you guys thinking about balancing reducing your debt load versus the rising rates? It just seems to be tough math. If we think about it. Obviously, you guys have continued to address this. But just want to hear how you're thinking about dealing with rising rates while the portfolio is still trying to work to get back to full -- all cylinders running.
Dave Folsom: Well, as you mentioned, we get the Philadelphia loan worked out here this year. And then we're really only looking at one -- one issue next year. I mean, I think if you look at our total leverage level, you've seen over the past couple of years, we've adjusted down across both for preferred and the funded debt levels. I mean we have to take each one of these on a property-by-property basis. And I mean our thesis would be, Alex, that going forward, we're going to see some interest rate reductions next year, which we think will help lift the industry and the debt issues. The other thing to remember, in my view, is what you said yesterday on your Bloomberg interview is lenders are not eager to create problems right now. And that actually works in the favor of the borrower to extend out mortgages and deal with some of these interest rate increases in the longer term. Do you want to add anything, Tony?
Tony Domalski: I was just -- I think what I would add is that I think our expectation is, as mortgages become due in 2025 and 2026 to 2027, we're not going to be looking at the same interest rate environment. And if we are -- we're not going to be back down into inflation at 1.5% to 2%. And so I think there's going to be -- that as these mortgages mature and as our average weighted average interest rate in our debt rises, we're going to see some amount of corresponding lift in ADR and hotel EBITDA to come to afford that.
Alexander Goldfarb: Okay. And you answered my next question, which was going to be on bank willingness to work with you guys, but you obviously answered that because clearly, the banks don't want to add to their CRE portfolio. So it sounds like they're doing what they can to adjust the balance and rate. So that way, it's still a loan outstanding rather than you're taking possession. That tends to be the MO right or otherwise?
Tony Domalski: No, you're correct. That's correct.
Alexander Goldfarb: Okay. Listen. Thanks a lot.
Tony Domalski: Thank you, Alex
Dave Folsom: Thanks, Alex.
Operator: Thank you. [Operator Instructions] Our next question comes from Jeff Hassannia from HD Enterprise. Your line is now open. Please go ahead. 
Jeff Hassannia: Hi. Good morning,. Thank you for the transparency on your call. I sure appreciate it. I have two questions. The first question is dealing with the 11% drop in occupancy from the 2019 numbers. And you provided some rationale for that or what's occurred in general in the marketplace? And then you also described what you think in the future in terms of market trends are going to help that recover back to maybe that 2019 number. But -- so the first question around that is beyond just hoping the market conditions prevail, what are you doing proactively as a company from a competitive landscape perspective to help make sure that happens beyond just hoping the market conditions approve? That's the first question. The second question I'll just ask now as well. If you had to look forward and project some nominal operating conditions, sort of a best case kind of forecast or a nominal case forecast going forward, when would you anticipate a potential return of dividends to common shareholders? That's the second question.
Scott Kucinski: Well, the first question on the occupancy, I think it's pretty consistent across our industry. One of the things we need to do at the property levels to make sure that we're competing within our comp sets with the correct share capture. And that's something we challenge our management company to do and that's probably the nearest piece of low-hanging fruit to try to capture some additional occupancy. As you saw or heard in our prepared remarks, we've all talked about the upside in occupancy and some of that has to do with the recovery of group and business travel into the hotels, and that will lift group and lot revenue. It's not singular to Sotherly hotels, this phenomenon with occupancy. Rate has been the driver of revenue over the recovery. And I think to your second question, which was, when are we going to pay common dividends. As you're probably aware, we can't pay common dividends until we are caught up on any cumulative outstanding preferred dividends, and we are trying to pay those back. I can't tell you the pace or frequency or time line to do that. But our management team is -- were significant shareholders and we want a common dividend as bad as everybody else. I just -- I can't give you the time line on when that might happen.
Jeff Hassannia: All right. I appreciate it. Thank you for the color.
Scott Kucinski: Thank you.
Operator: At this time, we currently have no further questions. So I'll hand back to CEO, Dave Folsom, for any further remarks.
Dave Folsom: No, thank you very much, operator, and thanks for everyone listening to our call, and we'll circle back next quarter. Thank you.
Operator: Thank you for joining today's call. You may now disconnect your lines.